Operator: Good morning and welcome to Allegion's Q3 2017 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Wagnes, Vice President of Investor Relations and Treasurer. Please go ahead, sir.
Mike Wagnes: Thank you, Keith. Good morning, everyone. Welcome and thank you for joining us for Allegion's Third Quarter 2017 Earnings Call. With me today are Dave Petratis, Chairman, President and Chief Executive Officer; and Patrick Shannon, Senior Vice President and Chief Financial Officer of Allegion. Our earnings release, which we issued earlier this morning, and the presentation, which we'll refer to in today's call, are available on our website at allegion.com. This call will be recorded and archived on our website. Please go to slide number 2. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of federal securities law. Please see our SEC filings for a description of some of the factors that may cause actual results to differ from anticipated results. The company assumes no obligation to update these forward-looking statements. Please go to slide number 3. Our release and today's commentary include non-GAAP financial measures, which exclude the impact of restructuring and acquisition expenses and charges in current year and prior year results. We believe these adjustments reflect the underlying performance of the business when discussing operational results in comparing to the prior-year periods. Please refer to the reconciliation in the financial tables of our press release for further details. Dave and Patrick will discuss our third quarter 2017 results, which will be followed by a Q&A session. For the Q&A, we would like to ask each caller to limit themselves to one question and then re-enter the queue. We will do our best to get to everyone given the time allotted. Please go to slide number 4 and I'll turn the call over to Dave.
David Petratis: Thanks Mike. Good morning and thank you for joining us today. Allegion posted another solid quarter of operational results, delivering continued margin expansion and modest organic growth. For the third quarter, revenue was $609.4 million, an increase of 4.9%, reflecting organic growth of 2.7% as well as the benefit of foreign currency and acquisitions contributing to the overall growth. All regions contributed to organic growth. Americas saw organic growth of 2.8% in the quarter, supported by strong price and mid teen's growth in electronics. The Americas business continues to see favorable trends in end markets. So constraints across the construction supply chain including labor continue to impact the completion of projects, which caused some choppiness in the timing of orders and shipments of our products. Europe had another solid quarter of organic revenue growth of 3.1%, led by strong growth in our portable security and SimonsVoss businesses. Our Asia Pacific business saw organic growth of 0.4%. Adjusted operating income of 134.6 million increased 6.2% versus the prior year. Adjusted operating margin increased by 30 basis points, as we continue to experience margin expansion driven by strong price and incremental volume in excess of investments and cautionary headwinds. Adjusted earnings per share of $1.02 increased $0.09 or 9.7% versus the prior year. Overall, I'm pleased with the operational performance in the third quarter. In addition, we're updating full year EPS guidance. Adjusted EPS guidance is now $3.75 to $3.80 and reported EPS guidance is $3.21 to $3.26. Please go to slide 5. Before I turn the call over to Patrick, I want to take a little time to talk about Allegion's foundation for electro-mechanical convergence and connectivity. At Allegion, we blend the best elements of our mechanical heritage with the latest technology that provides the security our customers expect, along with the convenience and connectivity they desire. That's what allows Allegion to lead the electro-mechanical convergence in the security industry today. For instance, over the last twelve months we have sold 1.5 million residential electronic walls. To best illustrate our leadership in convergence, this slide showcases the evolution of some of our residential products. On the far left you see a Schlage Mechanical Deadbolt, something that most people listening today probably grew up using. Since 1920, when Schlage was awarded the first patents for cylindrical and push-button locks, we've been pioneering in the home security hard since then. Now, our experts have been creating innovative smart locks for nearly 10 years, leading us to the products you see on the far right, our latest launch the Schlage Sense Wi-Fi Adapter. This simple lock again provides android and Apple user's access to the Schlage Sense Smart Deadbolts from anywhere. No smart home platform needed. We launched it in August along with android compatibility for the Schlage Sense Smart Deadbolt. Just like our Mechanical and leading Smart Deadbolt's, we're confident the Schlage Sense Wi-Fi Adapter will become a staple in the residential market place. We're equally confident in the bigger picture. Allegion's extensive base of mechanical and electronic solutions serves as a robust foundation and competitive advantage for our growth into the ongoing electro-mechanical convergence. Patrick will now walk you through the financial results and I'll be back to discuss our full-year 2017 guidance.
Patrick Shannon: Thanks, Dave and good morning everyone. Thank you for joining the call this morning. Please go to slide number 6. This slide depicts the components of our revenue growth for the third quarter. I'll focus on the total Allegion results and cover the regions on their respective slides. As indicated, we delivered 2.7% organic growth in the third quarter. Pricing was strong this quarter and was favorable in all regions. As a company we remain disciplined in taking necessary pricing actions to help mitigate the impact rising monetary functions. As a result, pricing improvements have continued to exceed material inflation. During the quarter, acquisitions contributed 1% growth and foreign currency with a tailwind particularly in the EMEIA and Asia Pacific regions. Please go to slide number 7. Reported net revenues for the quarter was 609.4 million, this reflects an increase of 4.9% versus the prior year, up 2.7% on an organic basis. I was particularly pleased with the strong price performance in all regions. The total growth was driven by favorable currency impacts, in addition to the price performance. Adjusted operating income was 134.6 million and adjusted operating margin of 22.1%, increased 6.2% and 30 basis points respectively when compared to the prior year. The operational improvement was driven by solid price and productivity, which more than offset the impacts of inflation in incremental investments. The price performance allowed us to absorb and manage through the higher inflation we experienced. The business continues to deliver both organic growth and operational margin improvement, while continuing to make investments for future profitable growth. Please go to slide number 8. This slide reflects our EPS reconciliation for the third quarter. For the third quarter of 2016, reported EPS was $0.02, adjusting $0.91 for the prior loss on divestiture, restructuring expenses and integration cost related acquisitions, the 2016 adjusted EPS was $0.93. Operational results increased EPS by $0.09 with favorable price, operating leverage and productivity more than offset inflationary impacts. Interest and other income were a net $0.03 per share increase, driven by non-operating gains. The combination of the adjusted effective tax rates and share count grow by $0.01per share reduction versus the prior year. The adjusted effective tax rates grow by $0.02 per share reduction. The increase in rate is primarily due to the mix of income earned in higher tax rate jurisdictions. Share count reductions increased EPS by $0.01. Incremental investments were $0.02 per share reduction. These investments relate to new product development and channel initiatives, which allow us to grow faster than the market, expand our electro-mechanical presence and increase our vitality invests. This results in adjusted third quarter 2017 EPS of $1.02 per share an increase of $0.09 or nearly 10% compared to the prior year with the growth driven primarily by operational improvements. We have a negative $0.08 per share reduction for debt refinancing costs, acquisition and restructuring charges. After giving effect to this onetime items, you arrive at third quarter of 2017 reported EPS of $0.94. Please go to slide number 9. Third quarter revenues for the Americas region were 455.2 million, up 4.4% on a reported basis and 2.8% organically. The modest organic growth was driven by strong pricing in the quarter as well as mid-teens work in the electronics products which offset the impact of timing of orders that was a positive benefit in the second quarter. The price performance continues to allow us to effectively manage the price cost dynamic. On a year-to-date basis the Americas region has had strong organic growth at 6.2%. Americas adjusted operating income of 137.1 million, increased 3.6% versus the prior year period and adjusted operating margin for the quarter decreased 10 basis points. The decrease in adjusted operating margin is primarily driven by unfavorable product and mix in incremental investments. Please go to slide number 10. Third quarter revenues for the EMEIA region were 125.1 million up 7.5% on a reported basis and 3.1% organically. Revenue growth was driven by strong performance in both the portable security and SimonsVoss businesses along with solid price performance. Currency tailwinds also contributed to total growth. EMEIA adjusted operating income of $10.6 million increased 45.2% versus the prior-year period. Adjusted operating margin for the quarter increased 220 basis points, driven by solid price, favorable leverage on incremental volume, favorable mix and the currency tailwinds offsetting the impacted inflation in incremental investments. Our EMEIA business had strong operating performance in the quarter as we continue to focus on areas that would drive us the double-digit margin profile in that region. Please go to slide number 11. Third quarter revenues for the Asia Pacific region were 29.1 million, up 2.1% versus the prior year. Organic revenue increased 0.4%, driven primarily by favorable price as they drop comparable notably in Australia and New Zealand muted the volume growth. Total revenue was also supported by contributions and currency tailwinds. Asia Pacific adjusted operating income for the quarter was 2.2 million, with adjusted operating margins up 130 basis points versus the prior-year period. Operating margin increases were driven by favorable price, productivity in FX more than offsetting inflationary impacts. Please go to slide number 12. Year-to-date available cash flow for the third quarter 2017 was 136.3 million, which is a decrease of 15.7 million compared to the prior-year period. The decrease is driven by the previously announced $50 million discretionary pension funding payment that was made in the first quarter, partially offset by higher net earnings. Excluding the discretionary pension payment for 2017, available cash flow increased $34.3 or 22.6% compared to the prior year period. Working capital as a percent of revenues and the ratio for the cash conversion cycle slightly increased in the third quarter 2017 when compared to the prior-year period. The increase is primarily driven by planned increases in inventory levels in certain areas to improve customer fulfilment requirements. As noted we are updating our full year available cash flow guidance to approximately 300 million, which is net of the $50 million discretionary pension funding payment. Please go to slide number 13. I want to take this time to highlight the changes from our recent debt refinancing we previously announced. During September we closed our refinancing of our credit facility and in early October we issued investment grade senior notes, the proceeds of which we used primarily to regain our previously outstanding high yield senior notes. Our outstanding debts as result of the refinancing increased slightly. However, our debt to adjusted EBITDA remained approximately the same at 2.8 times and 2.2 times on a net basis. Our refinancing in upgrades with investment grade resulted in an unsecured capital structure with maturities extending approximately three and a half years and demonstrates our financial strength and strong cash flow characteristics. It also reduces our cost of capital and future borrowing cost, which enhance our ability to form accelerated organic growth as well as future acquisitions. Lastly the refinancing will reduce our annual interest expense by approximately 13 million or $0.09 per share, a quarter which will be realized in Q4 of this year. I will now hand the call back over to Dave for an update on our full-year 2017 guidance.
David Petratis: Thank you, Patrick. Please go to slide number 14. As noted on this slide, we are updating the revenue guidance in all regions. We are reducing revenue guidance in the Americas and Asia Pacific while increasing in EMEIA. This results in revised guidance range for a total revenue of 6.5% to 7% and organic revenue being revised to a range of 5% to 5.5%. If we look closer at the Americas business, end market fundamentals remain solid as we continue to see positive indicators in non-residential verticals and expect momentum in single-family construction to continue to support solid residential markets. However due to constraints across the supply including labor the industry is experiencing delays in overall project construction which has an impact on the timing of our revenue. For EMEIA region, we are raising both the total revenue and our organic revenue outlooks. European markets have started to rebound nicely and are being bolstered by continued general macroeconomic improvements such as high consumer confidence and low unemployment. For the first time in a decade the GDP in all of our key economies are growing. Total revenue growth is also being assisted by FX tailwinds in second half of the year. In the Asia Pacific region, electronics remain a key driver of the growth. Similar to EMEIA, the FX headwinds are anticipated in the original guidance are not as prevalent. As we look out to 2018, we would expect end markets to continue to grow and expect organic revenue in line with our previously provided long term profit of 4% to 6%, which includes the benefit of electronics growth as well as continued performance in our channel initiative. We are updating our 2017 adjusted earnings per share to a range of $3.75 to $3.80 this represents EPS growth of approximately 12% to 14%. This guidance includes a reduction of reported EPS related to debt refinancing cost and restructuring and acquisition expenses in the amount of $0.54. This brings our updated guidance for reported EPS to a range of $3.21 to $3.26. Included in the revised guidance is the assumption for the full-year tax rate to be between 18% and 18.5%. This guidance assumes average diluted shares count for the full year to be approximately 96 million shares. Please go to slide 15. Let me finish by reiterating that I am pleased with our third quarter execution and results. As a summary, reported revenue grew nearly 5%, organic revenue grew nearly 3%, is up 5.5% for the year, adjusted operating margins increased 30 basis points. Adjusted EPS saw just nearly 10% growth in the quarter and it's up almost 13% for the year. These results position us well to complete 2017. Now, Patrick and I will be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question comes from Josh Pokrzywinski with Wolfe Research.
David Petratis: Hi, Josh.
Josh Pokrzywinski: Just maybe a bit of a follow up on some of the residential electro-mechanicals and clearly the market is off little bit in the past week or so with after picking up I guess in the Amazon key announcing yesterday. I guess you guys have a lot of partnerships out there and so have pretty good leadership position, but how would you characterize some of these changes and then could you give kind of a walkthrough of how this Amazon key maybe a future opportunity or why you guys are not part of that in the show partnership?
David Petratis: So, number one we welcome the introduction of Amazon Key. We think this whole category is in its early stages, early earnings as we have said in the past maybe 3% to 5% penetration. So, we like the opportunity having intensity and what we call the last foot or last mile in terms of this delivery we think we are in a very good position with over 1.5 million locks sold year, that were installed in the residential category. We work with all players. Amazon, we are encouraged to click on and look at our products offering on Amazon, we have got the highest star ratings. Consumer reports rates our e-lock as best in class and we think it's opportunity plus. We continue to have having investments to be able to work and with our open platform approach to be able to grow the category. So, I think there is a bevy features that are loaded into our lock in terms of its design and robustness that gives us a leadership position. Whether it's Amazon, Google, Siri, Control4, there is a variety of operating platforms that we compile with and we like our position.
Josh Pokrzywinski: But there is nothing proprietary in what's coming out what's I guess the new key platform that Schlage couldn't fit into eventually.
David Petratis: No. And I can encourage we may be - with our presence in this market place maybe a little bit more insightful on some of the opportunities and pit falls as you are inviting people into the home. Remember some of the early challenges with voice activation on which side of the door, we think thinking through these details and in this case maybe not being the first, but a follow will be a good position for legend.
Josh Pokrzywinski: Got it. Thanks for that.
Operator: Thank you. And the next question comes from Joe Ritchie with Goldman Sachs.
Joe Ritchie: Thanks. Good morning guys.
David Petratis: Good morning.
Joe Ritchie: Can we maybe just touch on the Americas for a little bit? And if - David maybe you can talk a little bit more about the constraints that you are seeing on labor and on the project side. How much of an impact do you guys estimate that has happen this quarter, that it impacted this quarter and then as you think about the upcoming quarter, it seems like you are inviting in acceleration in the Americas in your guidance so maybe talk a little about what you are thinking about for $Q as well?
David Petratis: So, we would say in the quarter maybe two points of overall growth. What are something is driving that number one if you have heard me over the last year, I have talked about constraints in the market place. Construction, unemployment is that the lowest since 2001. There is clearly tightness in the job markets. We had our top distributors in Chicago early September and general consent is was their backlogs had never been higher and their ability to turn on had never been lower and talked about constraints from the architectural level right down to install, so there is clearly some constriction in the market. I would include also in that commercial doors normally would run two to four-week leave times they run long all year and in 8 to 12-week range. This significantly impacts our commercial. We hang all of our stuff on door. So that constriction appears. We think some of that will move through in Q4. If not, a constraint that's going away in '18 or '19, we actually think it pushes the expansion further ahead. I think as we look at '18 and the long term we like our view in terms of the continued end market performance. We think about education, healthcare, single-family. We like the continued expansion of that. We see some slowdown in multifamily. It's not one of our sweets spots. We actually think our lack of share in that position in electronics and some of the things we are investing and will give us growth. So that's how we see it.
Joe Ritchie: Okay that's helpful. I guess just a maybe follow up on that comment so, is it fair to say then if it - from an end market perspective outside of multi-family you are not really seeing much the slowdown whether there is some this timing related things that impacted the quarter and moving forward do you expect to see the acceleration come back in like what's 4Q and in early part of next year, is that fair?
David Petratis: It's extremely fair and I would reemphasis as we look to '18 and '19 and spend significant time understanding our end markets, we believe our long-term growth projections in 4% to 6% is bought on. I think it also put some challenges on a region in terms of the jobs we pick in that overabundance of backlog when you think about constraints in the market place, we will get sharper in making sure that we are putting our resources behind the jobs that we believe will move through.
Joe Ritchie: Got it. That makes sense. One last question on pricing, I know that you guys were planning cut through a pricing in August fairly it was a strongest quarter, strong as it was last quarter. Did you already thought to feel some of the impact of that pricing this quarter or is that really more on the time for 4Q?
David Petratis: And we benefited in this quarter there will some carry forward for the balance of the year, but the expectations you are probably not going to see a stronger price realization as Q4 as what you saw in Q3.
Joe Ritchie: Okay, got it. Thanks guys.
Operator: Thank you. And the next question comes from Timothy Wojs with Baird.
Timothy Wojs: Hey, guys good morning.
David Petratis: Good morning.
Timothy Wojs: So, I just maybe just an update a little bit on the investment spending. I see that it recently the Americas business I think it had slowed down a little bit maybe versus what you guys had done in the first half so, just an update on kind of what you expect to spend from investment perspective in 2017 and then maybe any preliminary thoughts on 2018. Thanks.
David Petratis: Yeah, so we had - when we started the year had provide some original guidance with a range of $0.15 to $0.20 year-to-date I think we are at the $0.11 year-over-year incremental investment spend up you know for Q4 for the full year I would say probably at the low end of that guidance is not a little bit lower. So, anticipate Q4 to kind of be after it maybe a little bit higher than what you saw in Q3. As we look forward to 2018, we will provide more specific guidance when we report Q4 results in February. But kind of we had indicated previously we look at it relative to market conditions, what are the opportunities, what's the capacity, can we accelerate things like electric products and at option rates those type of things. So, more color to come there we can balance that relative to market conditions. So slower market would be in less investment the kind of manage earnings going forward so.
Timothy Wojs: Okay, great. Good luck for the rest of the year.
Operator: Thank you. And the next question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell: Thank you very much. Just wanted to circle back on the labor source of just in the Americas issue, so I guess I find it interesting that you had raised your organic growth guide in the region slightly back in July then you are lowering it today. So just trying to understand what point did you see a sudden shift in this aspect of constraints and I guess what's your confidence so conviction level in the visibility of the growth guidance for Q4. My guess is it implies volume growth about 2% or 1.5% in the Americas in Q4, so I just intrigue sort of how quickly and when things really change that they're cosy to move from an increase in the guide to a reduction within the three months.
Patrick Shannon: So, if you look back on the year - first half of the year was pretty high. It doesn't mean that their product was always installed. So, we actually saw a deceleration in July, but I think as we would have said at the end of our Q2 call we plan this business for a year-to-date basis. We are - I think well within the range that we forecasted. We saw tightness in the labor market. Is that going to affect our projects, ultimately yes, but it clearly was an evident in the first half of the year. I would also say this there is some new answers to our business. Our strong position in K12 in college campuses sets us up for that strong first half their products have to be on side to be able to take care of the summer upgrades and its part of how the business works and companies if the labor availability would have been there, we would have shipped more products.
David Petratis: I would you say Julian, that you know we cannot look at the fun end of the business in terms of specifications, bit code activity still very strong market conditions that the fundamentals we can have in change and that state fairly consistent kind of throughout the quarter. You know the follow up perhaps in billing revenue is more back end loaded towards the quarter. You know the Q4 guide is little bit higher than what we saw in Q3 and basis of what we are seeing in the market place if you locate on that. I would also add I think we worked extremely hard with our economic forecasters over in the last four years they have a view. I think we generally had good perspectives on the health of our end markets and confident in our 4% to 6% growth going forward into'18.
Julian Mitchell: Thanks, and then just one quick follow up. I think pricing sorry not pricing volumes mix at negative slightly in the Americas in Q3 even though I think non-resi out grew res in the quarter so maybe just give any color you can on the mix issue.
David Petratis: Yeah, now actually it went the other way. As we indicated - the really good growth on electronic products that was driven heavily from the residential segments, so the residential business which all of you know has a lower margin profile actually have grew the non-residential segment and that was contributing to the mix that we highlighted in the quarter and drove the margins slightly down year-over-year in the Americas segment.
Julian Mitchell: Great, thank you.
Operator: Thank you and the next question comes from Richard Kwas with Wells Fargo Securities.
Richard Kwas: Hi, good morning. Just when we think it on late July when you gave the outlook updated outlook for the year, what was the expectation for volume in the Americas at that time. I assume it wasn't zero when you look at volume mix, but what is the way to quantify that or think about that relative to your initial internal expectations.
David Petratis: So, I have to go back and look at those specifics. On the slide we give the revenue guiding. You got that doubt for there in terms of total reported in organic growth. So, the organic growth number of course included in that component would be the volume as well as price and pricing. I think we had it maybe a 150 to 200 basis points type of range and, so you deduct that from the organic growth and you kind of get the volume number. So, it's higher than what we are anticipating. Pricing actually being a little bit longer or so many better and so always the change in the guidance if you will, is all volume related.
Richard Kwas: And that's all the stuff that's still in backlog or in your terms of being in a project and then just been pushed basically is the message or?
David Petratis: That is the clear message. I read some commentary of coming out of Dallas and the Florida regions not related to hurricane, but just project delays that have been showed in the '18.
Richard Kwas: And then just touching on capital allocation here so limited M&A here year-to-date you have talked not building cash you got a buyback in place. How should we think about that?
David Petratis: So as we have indicated our capital deployment strategy in a balanced flexible disciplined approach, our process is way-to-way indicated leads with investments in driving organic growth then M&A and then perhaps shareholder distributions, I would say particularly from the M&A perspective very active pipeline, lot of focus in the fire and I feel fairly confident to put some points on the board here within the next three months and so that's why you haven't seen a as long as long we have some capital deployment. So, stay tuned more to come on that.
Richard Kwas: Okay, thank you.
Operator: Thank you. And the next question comes from Jeffrey Sprague with Vertical Research Partners.
Brett Linzey: Hi, good morning, it's Brett Linzey in for Jeff.
David Petratis: Good morning, Brett.
Brett Linzey: Hey, just wanted to come back the pricing obviously strong in the quarter again. I guess as you look at those pricing measures is it primarily related to a price to cover inflation or you getting some help from new products or FX maybe some finer point there.
David Petratis: So, it's predominantly to cover inflation so anything related to new products would come through in the volume side. So, when we calculate price it's really year-over-year same products and obviously we have been fairly active and going forward price increases. We have got better tools now to measure better alignments relative to in centres etcetera. So, I think from an overall management perceptive operational excellence we have done a very good job across the globe to try to maximize price to clearly offset the commodity price increases.
Brett Linzey: Okay and then maybe just back to the end market so I mean cycle duration is obviously a big topic here as you unbundle both the commercial markets and your institutional markets you look at your front lines [ph] your project metrics. What are those telling you in terms of visibility into '18 between both institutional and commercial?
David Petratis: We see positives in education, healthcare. In our commercial will be about the same level as it was in '17. So, we see good opportunities, as we look at the '18 in those verticals.
Brett Linzey: Okay great and thanks guys.
Operator: Thank you. And the next question comes from Saliq Khan with Imperial Capital.
Saliq Khan: Hi, good morning everyone.
David Petratis: Good morning.
Saliq Khan: Hi, Dave two question kind of whole lot of this early is low but if you still go looking at the clue that you guys got if I strip out the overall price inflation from currency, how does your strategy change overall going to the 2018 being able to get better volume not on the North America because I know that is a sign in the interest in market right now. If I look across the globe, how will your strategies change, will you be able to push up more products and increase the volume.
David Petratis: So, in Europe we are going to continue to push electronics and the bundling around projects. Some of the same channel initiatives that we deployed in the U.S. and the Americas we believe have opportunity in Europe and the Middle East. That's big project based that leads with our electronics. In Asia Pacific continued growth again in the electronics we think our mill rate and SimonsVoss offerings as well as the introduction of the Schlage electronic brands puts us in a great position for growth. And in Asia Pacific that's not only driven by new product introductions but the quality of our products, lots of electronics up there that have high failure rates. We really provide that Asian customer base the high-quality product that puts us on a good position.
Saliq Khan: So, one follow if it is worth, that is as in lot of technology changes across the industry and across the region as well. So, if you look out into 2018, all the currently solutions out there some alluded to August won't be in a quarter [indiscernible] earlier, are there other solutions out there that you find interesting that you think could be a great addition to your product portfolio.
David Petratis: There are - I think if I got a decade the connected building the connective institutions going to create I think outstanding opportunity for a region to expand the penetration of electronic locks. We think the app the portion and connectivity solutions in working with a variety of building control platforms are important better grounds and we have got investment and top leadership going after that including partnerships with Honeywell, Johnson Controls, Siemens and Amazon, Apple, Google as well. These I know - I see yesterday's news in terms of the connectivity with the Amazon, we work with them every day as a supplier as well as a partner on connectivity.
Saliq Khan: Got it. Thank you.
Operator: Thank you. And the next question comes from David MacGregor with Longbow Research.
David MacGregor: Yes, good morning everyone. I guess I want to ask you a question David on the discretionary commercial market. I know this is an area where you have done a lot of work for some time, but this segment contributes to growth and maybe can you talk about how competitive conditions maybe your discretionary commercial business. Thanks.
David Petratis: I would say in our channelized initiatives working with lock smith and wholesale distributors continue to exceed our expectations. The competitive positioning certainly there is [indiscernible] we think we're in a nine-inning game we probably in the fourth and fifth there is more work to be done. Our deployment of human resources will be completed this year and we like the upside part of it. It also gives us confidence that as we move in '18 we will see the benefits of that.
David MacGregor: And I guess just regard to your discussion about negative mix in Americas I know you have been harder on Falcon and some of the lower price point brands. Are these gaining share and if so are you seeing any capitalization on the premium brands.
David Petratis: They are gaining share. I would like to think that again a position comes from our competitors, but as you see projects push out one of the reasons they do push out is there is value engineering going on in the project because the prices escalations by us and primarily steel. In commercial and institutional building so, general contractor will say do I have the ability to trade off our premium brand to the Falcon brands, we think the work that we have done to solidify and enhance those brands helps us to grow. Remember historically David, we just walk away from them. We say okay, its value engineered they are not going with our premiums today we stay engaged and we think it helps us grow.
David MacGregor: Okay, thanks. Just one quick follow up, in Europe, what was the organic growth excluding portable security in SimonsVoss.
David Petratis: I don't know the number well to give back to your math.
David MacGregor: Okay. Thanks very much.
Operator: Thank you. And the next question comes from Robert Barry with Susquehanna.
Robert Barry: Hi, guys good morning.
David Petratis: Good morning
Robert Barry: Actually, I just wanted to clarify something you said really, or did you say that non-rents was up mid single and the resi up low or the resi was up mid single and the non resi up low single.
David Petratis: The question with mix is that the volume from resi was up more when you look at the commercial business that revenue growth was driven more by price, so that the resulted into negative mix between the two.
Robert Barry: Was there any significant difference in the growth between the aftermarket and the new construction components of resi and/or non-res?
David Petratis: Nothing that we saw there is any difference relative to the mix.
Robert Barry: So, I think if it is like the labor constraint issue might be appear more pressure in the construction piece of the business versus the other which is more consumer driven.
David Petratis: I have had face-to-face consider discussions with general contractors as well as lock smiths, electricians they are all beating about it.
Robert Barry: Yeah, it just broad labor availability. I guess just last question on demand in electricity do you think that's relevant here at all higher prices impacting the volume or causing any mix down.
David Petratis: I don't think that's happening at all.
Robert Barry: Got you, okay. Thank you.
Operator: Thank you and as there are no questions I would like to return the call over to Mike Wagnes for any closing comments.
Mike Wagnes: We'd like to thank everyone for participating in today's call. Please contact me for any further questions and have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.